Operator: Good morning. Welcome to the Everbridge Third Quarter 2022 Earnings Conference Call. My name is Vaishnavi, and I will be your conference operator today. All participants will be in a listen-only mode. [Operator Instructions] Following managements’ remarks, we will open the call for your questions. [Operator Instructions] I would like to remind everyone that this call will be recorded and made available for replay via a link in the Investor Relations section of the company’s website. Now, I would like to turn the call over to Vice President of Investor Relations, Nandan Amladi. Sir, please proceed.
Nandan Amladi: Thank you, Vaishnavi, and good afternoon, everyone. Welcome to Everbridge’s earnings call for the third quarter of 2022. With me on today’s call are Everbridge’s President and CEO, Dave Wagner; Executive Vice President and CFO Patrick Brickley. Before the market opened, we issued our earnings release, which can be accessed on the Investor Relations section of our website at ir.everbridge.com. This call is being recorded and a replay of the teleconference will be available on our Investor Relations website at the conclusion of today’s event. During today’s call, we will make forward-looking statements regarding future events or the financial performance of the company that involve certain risks and uncertainties. The company’s actual results may differ materially from the projections described in such statements. Factors that might cause such differences include, but are not limited to, those included in our Forms 10-Q and 10-K as well as other subsequent filings with the SEC. Information provided on this call reflects our perspective only as of today and should not be considered representative of our views as of any subsequent date. We explicitly disclaim any obligation to update any forward-looking statements or our outlook. Also during today’s call, we will refer to certain non-GAAP financial measures. A reconciliation of our GAAP to non-GAAP financial measures is included in our earnings press release, which you can find on our Investor Relations website. Our earnings press release includes highlights from our third quarter in addition to our financial results and outlook. After we review our business and financial highlights, we will open the call for your questions. With that, let me turn the call over to Dave.
David Wagner: Okay. Thanks, Nandan. Good morning and thank you everyone for joining us today. Last week marked my first 100 days at Everbridge. It has been a rigorous and exciting time. Over the last 3 months, I met with well over 100 of our investors, prospective investors and analysts. I’ve had meaningful face to face interactions with dozens of our customers, and I’ve met one on one with nearly 200 of my colleagues. The senior leadership team and I spent many days and nights reviewing our operations, aligning on our value drivers and beginning the process of implementing a strategic plan that we believe will drive the next phase of our growth heading into 2023 and beyond. The opportunity ahead for our business is compelling. To begin today’s discussion, and to set the foundation of our strategic plan, I’d like to start with an overview of how Everbridge came to be, where we are today, and how the new leadership team is planning for our future. As a company founded 20 years ago in the aftermath of September 11, Everbridge built the world’s premier Critical Event Management or CEM platform to deliver on our mission of enhancing enterprise resilience for our customers, as they work to keep their businesses and people safe during critical situations. Our intelligent automation technologies helped us to capture a leading share of the CEM market. In doing so, we’ve scaled our platform to reach over 2 billion people globally and to deliver over $400 million of revenue annually. As a pioneer in CEM and public warning, Everbridge has become the Leader in a growing early stage market. Over the past several years, the company rapidly expanded its capabilities and global presence. However, 2022 has been a year of discontinuity and major changes for Everbridge. And we are now maturing into the profitable growth stage of our corporate maturation, which will be characterized by stable, predictable growth and expanding profitability. As the team and I’ve taken a fresh look at where we are and where we’re going. We see a clear path forward. We will continue to innovate. And we will serve our customers by integrating and building out our leading Critical Event Management Platform to support their maturing requirements for delivering enterprise resilience. However, we also foresee a lower growth rate in 2023, as we focus on organic revenue growth. As a result of this slower growth, we made the difficult decision to extend the strategic realignment that we announced in May, whereby we now expect that 200 more positions will be eliminated by the end of the fourth quarter. This action will allow us to adjust our cost structure, keep control of our financial future, and deliver predictable revenue growth for our shareholders. We expect earnings to grow faster than revenue for years to come as we simplify, modernize and optimize our platform and our internal processes. The decision earlier in the year to pause material M&A is helping us to focus on execution, and to make solid headway in product integration, back office integration, and sales and marketing optimization, which will drive even better customer experiences and opportunities for cost optimization. We see a clear path forward for $85 million of adjusted EBITDA in 2023 with a baseline expectation of total revenue growth in the 6% to 7% range. As we lap growth from previous M&A continue to sharpen our focus on our core growth opportunities, and further rationalize our portfolio of products. We are driving toward the Rule of 30 as we exit 2023 with a plan to reach Rule of 40 in the coming years. At the same time, while the team and I will refining our strategy, we continue to execute in Q3. As you can see from our earnings release, the health of our business remained strong, as we delivered another quarter of solid financial performance across the board. We grew revenue of 15% and delivered strong bookings, while generating a 14% adjusted EBITDA margin in the period. Overall, I am proud of the strides our team made this quarter towards positioning Everbridge for solid growth in 2023 and beyond. Before I go further, I will now turn the call over to our CFO, Patrick Brickley, to provide details on our financial results for Q3 and outlook for the remainder of the year. Patrick?
Patrick Brickley: Thanks, Dave. The work we began at the start of this year to strategically realign both our product and go-to-market organization has created a solid foundation for sustainable profitable growth heading into 2020. As we continue to do the groundwork to scale up our business, we are optimizing our cost structure, integrating prior acquisitions and creating an even more integrated CEM platform. Our efforts so far this year have resulted in a 14% adjusted EBITDA margin in the third quarter. And we are guiding to exit the year with a Q4 adjusted EBITDA margin of 16%, reflecting the mid-teens exit target that we had communicated at the beginning of this year. Our solid execution in the third quarter produced strong cash flow, as well as revenue and adjusted EBITDA that were above our guidance range. Revenue in the third quarter was $111.4 million, up 15% from a year ago. Adjusted EBITDA was $15.2 million, up significantly from $4.8 million last quarter, as we continue to optimize our cost structure. In Q3, we incurred $1.2 million of expense related to the strategic realignment actions that we had initiated in May. We generated cash flow from operations of $18 million, and adjusted for one-time payments related to our 2022 Strategic Realignment program, we generated positive adjusted free cash flow of $15.4 million. We ended the quarter with cash balance of $487 million. For full details of our P&L and reconciliation of GAAP to non-GAAP measures, please refer to our press release. Total deferred revenue was $233 million, up from $214 million at September 30, 2021, and flat sequentially reflecting a higher mix of perpetual license deals than we had seen in recent quarters and timing of invoicing in our SaaS business. Total RPO was $471 million, up 9% from a year ago. Current RPO, which represents our forward 12-month view was $298 million, up $6 million sequentially, and 12% from a year ago. Our net revenue retention rate continues to track at or above 110%, reflecting continued customer satisfaction, combined with demand for additional Everbridge technology to expand within the existing customer base. We know, however, that because it’s a metric that reflects trailing 12-month revenue. The planned attrition of some customers during this year, and the large deal that we terminated in the first quarter are beginning to weigh on this metric, as we progress through 2022. Our momentum with large transactions continued in Q3, resulting in trailing 12 months ASPs that were again above $100,000 and a record 75 deals in the quarter that were over $100,000 in annual contract value. Additional business metrics can be found in our Investor Relations presentation posted on our website. Now, I’ll turn to our guidance. For the fourth quarter, we anticipate revenue of between $116 million and $116.4 million, representing year-over-year growth of 13%. As discussed earlier, FX will pose roughly $2 million of headwind to fourth quarter revenue relative to currencies on January 1, 2022, and roughly $0.5 million of headwind relative to the rates that were reflected in the guidance, which we provided 3 months ago. We expect adjusted EBITDA will be between $18.1 million and $18.5 million, as we continue to optimize our cost structure. We anticipate non-GAAP net income of between $14 million and $14.4 million, or between $0.30 and $0.31 per share. For the full year, we anticipate revenue of between $430.8 million and $431.2 million, representing growth of 17%. This absorbs roughly $5.5 million in FX headwinds, since we established our 2022 guidance in February. We anticipate adjusted EBITDA will be in the range of $40.7 million to $41.1 million, more than tripling from 2021, and representing an adjusted EBITDA margin of roughly 10%. We expect non-GAAP net income of between $27.2 million and $27.6 million, or between $0.59 and $0.60 per share based on 46.3 million diluted weighted average shares outstanding. To sum it up, we delivered another quarter of sustained progress on our priorities as we approach the end of fiscal year 2022. Now, I’d like to frame our thinking on 2023. In terms of profitability, we will enter 2023 with a cost structure that is leaner than ever. The incremental restructuring actions that we’ve announced this month will reduce our annual run rate expenses by approximately $27 million in 2023, enabling sustained improvements and profitability in 2023 and beyond. With regards to revenue, we are continuing to improve the tenure of our salesforce. However, there are several additional considerations worth calling out. Number 1, as we optimize our go-to-market investments to focus on critical event management, ratable recurring subscription revenue and improved efficiency, we are reducing some areas of sales capacity that are productive, albeit, less efficient. Number 2, in 2023, we anticipate flat year-over-year growth in non-recurring revenue, and we will be laughing the settlement of the large contract that was terminated earlier this year. Number 3, the effects related erosion that we absorbed in mostly the second half of 2022 may create similar pressure on the first half of 2023. Number 4, we will continue to optimize our portfolio, which we anticipate will result in continued de-emphasis and potential divestment of certain assets that are revenue generating, but are non-core. And finally, number 5, we are weary of the uncertain macro environment. However, we anticipate that its impact may be offset by the internal work that we are doing to improve productivity and execution. So, we are taking a judicious view of our growth profile for 2023, during which the work on improving sales productivity will continue, while the salesforce gains more tenure. Taking all this into consideration, we expect 2023 baseline revenue growth of 6% to 7% with a clear line of sight to 2023 adjusted EBITDA of $85 million. Our improved cost structure gives us the confidence to meet or beat this prudent guidance, which we are providing one quarter ahead of when we usually do. On December 13, we are hosting an Investor Day during which we plan to disclose our annual recurring revenue and discuss our long-term growth path to the Rule of 40. Our Investor Day will be held at our New Customer Experience Center in Vienna, Virginia, just outside Washington, D.C. We invite you to join us in-person to meet the new leadership team and to see our CEM platform in action. We will also webcast the event live in case you are unable to join us in-person. Now, I’ll turn it back to Dave. Dave?
David Wagner: Thanks, Patrick. As our financial performance reflects 2022 has been a transition year enabling Everbridge to focus on driving organic growth as we enter the next phase of the company’s lifecycle heading into 2023. In the third quarter, we continue to see solid traction with our land and expand strategy. From a land perspective, we landed 72 new enterprise customers and a record 31 CEM customers in the third quarter, bringing our total CEM customer count to 255. We also generated a record 75 deals over $100,000 in the quarter, up from 63 in the prior quarter, and 45 in the third quarter last year. Within that record number of new deals we signed 3 deals over $1 million in Q3. A couple of these deals are part of our best quarter ever in our public warning business, which was anchored by a key wind in Norway to embed our software into their National Telecommunications Network. These are largely perpetual software and services deals, so the orders will accrue into revenue as the implementations occur over the next several quarters. This steady improvement we’re making in landing larger new customers is key to our long-term strategy. From an expand perspective, net revenue retention remained strong at over 110% driven by low-90s gross retention and add-on sales in the quarter. Although not financially material to the quarter, we have a large customer base in the State of Florida that was impacted by Hurricane Ian. We take our commitment to these customers seriously. Before, during and after the hurricane made landfall, we worked with rigor to support them during an event that proved to be catastrophic for many residents of that state and across the Southeast. We supported hundreds of customers with people and assets in the affected area. Our platform performed flawlessly throughout allowing our customers’ notifications to keep their citizens and employees safe. Our ability to reliably manage these critical events at scale is why our customers trust us to support them during times of need. Although tragic catastrophic events like Hurricane Ian underscore the meaningful nature of Everbridge’s mission and the purpose driven work we do. Separately during the quarter, one of our CEM customers, Takeda Pharmaceutical became the very first customer to achieve the Diamond level in our Best in Resilience program. What makes Takeda’s special is the way that they leveraged our CEM platform to implement continuous improvement in their ability to detect and assess risks, to coordinate with crisis response teams to communicate emergency information and ultimately to account for their employees safety. Through rigorous use of our platform, they developed and tested more than 350 unique incident communication templates for potential crisis situations. Takeda’s security team truly demonstrates what best-in-class looks like in terms of applying Duty of Care and protection for their employees. We are proud to be a part of their excellence. During the third quarter, we also continue to build out our leadership team including recent appointments of a new Chief Marketing Officer, David Alexander; and a new Chief Information Officer, Sheila Carpenter. David is a veteran B2B and SaaS marketing executive, who brings extensive experience generating global demand and transforming category leading brands like ours. He and his team’s work will shape our global brand strategy and demand generation capability for years to come. Sheila joins us with more than 2 decades of leadership experience in information systems, IT and operations at information security software companies. Her experience in information security, scaling IT operations and building enterprise applications will be influential in support of Everbridge’s more efficient growth. We also made solid progress on our key strategic product integration priorities by executing on our plan of building what we call pathways to the platform. Our first pathway to the platform built during the quarter applies to Anvil, where we completed an initial integration of its travel risk management solution into our core CEM platform, now called Everbridge Travel Protector. This integration positions our CEM platform as the only end-to-end, full-lifecycle solution for organizations to fulfill their duty of protection for traveling employees, remote employees, and hybrid workers returning to the office. We will continue to mature this integration over the coming quarters. Our second pathway was the milestone integration of our risk intelligence monitoring capabilities into our core CEM platform. This integration will allow us to begin migrating the remaining customers from the acquired solution into our core CEM platform. We will be maturing this integration further over the coming quarters with the objective of migrating all 150-plus legacy application customers onto our CEM platform by the end of 2023. In closing, as we continue to execute on our near-term priorities, which are guided by our land and expand strategy, we are well on the path to doubling our business over time. The breadth of capabilities we developed over the past 20 years, bolstered by our recent acquisitions have put us well ahead of the competition. Fueled by our product team initiatives, including impactful machine learning advancements, we have a solid outlook as we head into 2023. Our strong customer base also provides continued opportunity for expansion as we increase multi product sales, with a particular focus on the Global 2000. In summary, we delivered solid financial and operational performance in Q3. As we conclude 2022, our leadership team is laser focused on execution, driving revenue growth, and maximizing return on our investments. We are confident that our success in these areas will deliver sustainable top-line growth and expanding profitability and increasing cash flow. That concludes our prepared remarks. We’re now ready to open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Ryan MacWilliams with Barclays. Please go ahead.
Ryan MacWilliams: Hey, guys. Thanks for taking my question. I really appreciate the clarity around the growth objectives and margin targets for next year. Patrick, I know it might be difficult to separate, but how much of that 6% to 7% revenue growth guide for next year is macro related versus the impacts of the restructuring and headcount effects? Thanks.
Patrick Brickley: Thanks, Ryan. There are a lot of moving parts as we think about 2023 so far in advance. We are weary of the macro environment, but we are doing a lot of work internally to improve productivity and efficiency. So we think that – we’re optimistic that’ll offset the macro impact. And so it has more to do with the other elements that relate out whether it’s reducing some of the existing productive capacity, albeit less efficient capacity, flat non-recurring revenue year-over-year, continued FX headwind into the first half of next year, as well as, importantly, continuing to optimize the product portfolio. We’ve been chipping away at that this year, but we still may have a fair amount of work to go and that’ll drag into next year.
Ryan MacWilliams: Thanks. And then just on the guidance that top-line, what does that imply for the net revenue retention for next year? I know you kind of mentioned that in your prepared remarks. And then, Dave, just with these new guidance figures, what do you see more upside for 2023? Is that on the margin side or on the revenue side?
Patrick Brickley: Yeah. So – this is Patrick. I will take the net revenue retention. We’ll talk more about that at our upcoming Investor Day. Historically, we’ve used the trailing 12-month revenue metric, we’ll probably align the definition of net revenue retention with ARR, which we’ll be talking about at our Investor Day going forward. So it’ll be more clear, and we’ll unpack more of that on December 13 to everyone.
David Wagner: Yeah, so your question is a good one, Ryan. We chose our words carefully, so a clear path to $85 million EBITDA and a baseline of 6% to 7%. And that clear path is really driven by opportunities to modernize, and then optimize the cost structure. And so I’m really optimistic about the team’s ability to continue to dig in and drive operational improvements, especially as we look into what could potentially be a tougher macro environment. On the baseline, I’d comment – of course, we see upside, and that’s what we’re going to be working diligently to deliver. But, we’re – as Patrick indicated out in the 4 key areas, we’re really getting focused on the SaaS revenue growth as the primary value driver in the business. And so that really leads to the plan we have to disclose and recurring revenue at our Investor Day, and beginning to drive that as our primary metric. So as we dig into that those areas that Patrick identified in that kind of mitigating growth or the balances that were working off that baseline projection.
Ryan MacWilliams: Really great to hear about a potential ARR metric and looking for that for a long time, but looking forward to the Investor Day. Thanks, guys.
David Wagner: Thanks. I look forward to seeing you.
Operator: Our next question comes from Michael Turrin with Wells Fargo. Please go ahead.
Michael Berg: Hi, this is Michael Berg on for Michael Turrin. Thanks for taking my question. Can you guys walk us through where some of the optimizations in the cost structure across R&D, sales and marketing, and even G&A, it looks like R&D and G&A took the biggest cuts in the quarter, but maybe could walk us through what that looks like moving forward?
Patrick Brickley: Sure. This is Patrick. Thanks for the question. So last week we launched an incremental headcount related action to continue to optimize our cost structure, and that impacted every area of the P&L, whether it’s cost of revenue, sales and marketing, R&D, or G&A. And each area has sort of room for continued optimization. As we head into 2023, we anticipate holding our investment in each of those areas flat on $1 basis. We’ll continue to evolve the organization and focus on SaaS and recurring ratable subscription revenue, and critical event management. And in order to do that, we’ll take the existing levels of dollar-based investment, and we’ll be optimizing within that. So we’ll continue to invest incremental dollars in core areas of growth and opportunity, while continuing to de-emphasize investment in some of the non-core areas. And again, that hits all areas of the P&L. And sales and marketing, in particular, we’ll continue to drive more and more efficiency there, exiting this year and throughout next year.
Michael Berg: Got it. Thank you. And a quick follow-up. Well, how’s the size of this restructuring compared to the one done earlier in the year? And are the areas impacted any different than what was on earlier in the year? Thank you.
Patrick Brickley: Yeah, this is a much more headcount related. So, in May, we announced the beginning of the program, and we had said that we will spend between $13 million and $21 million to remove $13 million to $18 million from our annual run rate. Where we are right now with the May action is, we’re forecasting to spend about $20 million to pull out $17 million of annual run rate expense. Now, in November, the incremental action we’re forecasting to spend between $11 million and $12 million to pull out $27 million of annual recurring expense. So in aggregate across the broader action beginning in May and now extended in November, we’re looking to spend roughly $31 million to $33 million in order to save $42 million to $44 million of annual run rate expense. Most of that is headcount related.
Michael Berg: Thank you.
Patrick Brickley: You bet.
Operator: Our next question comes from Matt Stotler with William Blair. Please go ahead.
Matt Stotler: Hey, good morning. Thank you for taking the questions. Maybe just one on the macro, you mentioned some caution in the 2023 numbers around what could happen there, but obviously came in above guidance for the current period? So we’d love to just double click on what you’re seeing in terms of spending behavior from customers, any light thing in deal cycles or things filling out a pipeline on any specific areas of strength or weakness given the uncertainty?
David Wagner: Yeah, great question. So areas of strength I highlighted in the script, our public warning business, and I’m really proud of that team executed their best bookings quarter in the history of the company anchored by those couple of really key wins in Norway that I mentioned. So the government business continues really strong. From a deal perspective, we continue to execute really well on those enterprise deals over 100,000 [ph] that’s something I’m really pleased about, so up into the 70s from the 60s quarter-over-quarter, so that feels good. Last quarter, we had Vernon was here and spoke of no deal if you knew that were impacted by budget cycles. This quarter, it was one deal, that he noted to me that that has been impacted by budget cycle. So for what we’re seeing, it’s a very modest impact at this point. We don’t feel immune to it. So we are being judicious in our outlook, but we’re not seeing a big impact at this time.
Matt Stotler: Got you. That’s very helpful. And then maybe just one follow-up on the on the backend integrations, obviously, bringing these – the core pieces of the acquisitions from last couple of years together into the core CEM offerings. Any update on the timeline there and kind of how the key components of that process are coming together?
David Wagner: Yeah, thanks for bringing that up. I’m excited about those two, that we mentioned the script that being the initial integration of the Anvil Travel Protector into CEM. That integration really unlocks the value of that acquisition for existing CEM customers and new CEM customers. And so, we’re going to be continuing to extend that integration over the coming quarters to ultimately enable the migration of the Anvil enterprise customers into CEM, I would expect that to really be a late 2023 and 2024 activity. On the second integration, the risk intelligence integration into core CEM that on the other side represents the kind of culmination of the integration work that at risk intelligence was integrated into the platform for existing CEM customers and new CEM customers a few years ago. And this work represents completing the full feature parity to allow us to be, not to begin, but to really focus on the remaining 150 customers on the legacy application and bring them across again with the objective of bringing all them across by the end of the year. And I’m excited about that, because of the up-sell, cross-sell opportunity, it provides as we move those customers into the key platform. So I really liked those two examples. Obviously, they were in play well before I arrived, but they demonstrate the execution on the pathways, the platform, and then the power of focus that the leadership team and the product team is able to have, which will make us more efficient, going forward and we’ll really improve our customer experiences on our cross-sell opportunity.
Matt Stotler: Got it. Thanks again.
Operator: Our next question comes from Will Power with Baird. Please go ahead.
William Power: Okay, great. Thanks. Yeah, question on CEM, it looks like particularly strong CEM customer growth. And so we’d love to kind of double click on some of the key drivers there. And, I guess, in part then trying to reconcile, how to think about CEM growth in the next year, given the guidance? How much are some of the go-to-market optimization efforts, perhaps going to hinder? What you’ve seen more recently on the CEM front?
David Wagner: Yeah, so thanks for pointing that out. CEM is the strength of this company. It is the area of focus, as we move forward, and so as we do our strategic alignment, everything that leadership team and I are doing is really focused in, on that market leading capability. And we are growing inside that set of capabilities faster than the market. When you stand back, though, and unpack the whole company, obviously, we’re guiding to a lower revenue growth on some of the assets. That has to do, as Patrick said, first with an alignment across the organization that we’re driving a recurring revenue growth, in particularly to SaaS software recurring revenue growth, that also reflects the fact that there have been other acquisitions over time, and those cohorts of customers, in some cases aren’t growing and retaining as well as our core CEMP. And so that’s really the balance are getting right the issue that’s the balance we’re driving, as we continue to exploit our strong competitive advantages and leadership position in CEM, balanced with optimizing and modernizing some of the acquired company cohorts over time.
William Power: Okay. And maybe just one follow-up, it sounds like you’re feeling optimistic and positive, as you’re talking about Norway on the population warning opportunity. But, I guess just want to be clear with all the macro uncertainties and turmoil in Europe, is that having much of an impact on – either the EU mandate or the opportunity more broadly? Or is there everything by and large kind of moving ahead as planned or better still?
David Wagner: Well, I’d say – Patrick’s been clear that the opportunity we’ve executed very well on, it wasn’t as, when it all came to pass wasn’t as robust as perhaps hoped. But we have succeeded in winning the majority of the public warning opportunities that had been awarded in Europe. There are still roughly a dozen EU countries that have not yet made their decision, those will be the smaller countries and we’re continuing to position ourselves well in for those opportunities. As I mentioned earlier, that is built in to our guide, where we’re not expecting as much growth on the perpetual side as we are on the south side. And that having been said, these nice wins off a record quarter will probably be delivered and come into revenue in 2023 or primarily in 2023. So we’re balancing all of those things, we continue to see a good opportunity for public warning. This year will be an all time record and we wouldn’t quite be expecting a record next year, but we are expecting continued success in gaining share in public warning.
William Power: Thank you. Yeah, and also look forward to the Analyst Day.
David Wagner: Yeah. We are too. Thanks.
Operator: The next question comes from Brian Colley with Stephens. Please go ahead.
Brian Colley: Hi, guys, thanks for taking my question. So, I know the product bundles are still a relatively new selling motion. But I’m curious if you could maybe talk about the traction you’re seeing there, and whether or not you’re seeing any evidence that these are kind of improving sales productivity, or improving your ability to up-sell?
David Wagner: Thanks, Brian. Yeah, for sure, we’re continuing to see steady improvement in the go-to-market motions from the simplification into the personas, it’s made in a lot easier for our sellers and our customers to really see and understand the journey to – CEM is a platform for the enterprise through the eyes of the buying persona. I point back to the Takeda’s Diamond Resilience Program, and as we talked to risk officers and security officers in our large enterprise customers. They’re looking to Everbridge, and our platform as a way to integrate risk management across the organization. And so that’s really where the power of CEM comes, the persona buying journey helps us align with either the Chief Security Officer or with the Chief Human Resource Officer, or with the Chief Information Officer. And then from that value proposition expands out into the breadth, of course, CEM and hopefully that Takeda Pharmaceutical examples gives you as an investor’s and insight into the power of the platform as our enterprise customers reach in, and really focus on the workflows that support their Duty of Care. So we’re seeing good work with it. It’s a maturing market. And so we’re seeing this maturation primarily at the larger enterprise clients, and we see a long runway to continue to grow CEM as more and more organizations focus more carefully on the safety of their people and protecting their organization from climate change events and other critical events.
Brian Colley: Got it. That’s super helpful. Thank you. I wanted to ask about just the total customer adds, they were down a bit from last quarter. So I was curious kind of what drove that – is that facing any headwind from the de-emphasis of non-core technology. And then, secondly, I wanted to ask is the continued de-emphasis of non-core technology baked into your 2023 guidance?
Patrick Brickley: Hi, Brian. It’s Patrick. Thanks. Yes, similar to what you saw in Q1, Q3 had – the net adds in Q3 to reflect continued de-emphasis end-of-lifing [ph] of legacy non-core platforms. So they tend to be small dollar customers. On these platforms, we still have a few 100 of those customers that we’re continuing to work through. So that will continue to be a headwind to that metric of net customer adds. And the dollar impact or anticipated dollar impact of continued de-emphasis in potential divestment is reflected in our initial guide for 2023. In 2022, we had mentioned a range of $6 million to upwards of $10 million of ARR, but related to the potential de-emphasis. We’ve only made progress to the tune of about $2 million on that so far this year, so it’s going to carry into next year, and that’s part of the 2023 guide.
Brian Colley: Got it. That’s helpful. I’ll leave it there. Thank you for the time.
Patrick Brickley: Thank you.
Operator: Our next question comes from Scott Berg with Needham. Please go ahead.
Scott Berg: Hi, Dave and Patrick. Thanks for taking my questions. I guess, I got – I have two of them. First of all, Patrick, it’s a follow-up to what you just said on the product rationalization. Can you just clarify that a little bit? It sounds like what you announced earlier this year still kind of coming out of the model today. And then the product rationalizations you talked about as the headwind for next year 2023. Are those incremental new rationalizations or just the execution that previously announced one? Thanks.
Patrick Brickley: Hey, Scott, thanks for the question. More execution of that what we have previously discussed, some of those are on path, for example, potential divestment, and that just hasn’t happened yet. So, if and when there are divestitures then the related ARR will peel off pretty quickly. Meantime, we’ve just been end of sailing end-of-lifing, and so that’s why the progress has been more gradual.
Scott Berg: Helpful. Thank you. And then from a follow-up to me, I just wanted to also define what line of sight for $85 million in 2023 adjusted EBITDA means. Does that mean for the full year, you’re expecting to be at $85 million as a minimum for the year? Or is that an exit velocity as we get through calendar 2023? Thank you.
Patrick Brickley: Yeah, you’re welcome. That is $1 focus for the full year, so that would be a full year. The timing of that obviously Q1 tend to be down a bit and move up to the year. But for the full year, EBITDA guidance, a clear line of sight to $85 million of EBITDA for the full year.
Scott Berg: Great. Thanks for taking my question.
Patrick Brickley: Sure. Thanks.
Operator: The next question comes from Koji Ikeda with Bank of America. Please go ahead.
Koji Ikeda: Hey, David and Patrick, thanks for taking my questions. Definitely appreciate all the color on the prepared remarks on how to think about all the moving pieces here. I had a question on the revenue cadence for 2023. And, you mentioned earlier some planned customer attrition, maybe some divestitures of revenue generating products. But, I guess, the question here is, are you anticipating any quarters where revenue would sequentially decline next year, considering you guys are a subscription business?
David Wagner: Yeah, that’s a great question. And, as you look at the historical performance of the company, Q1s have been down quarter-over-quarter, and the investor deck that we put out on the website today, we undertook to take some of the 10-K, 10-Q information and display it more clearly to show that the recurring revenue trend versus the non-recurring trends to help point that out, and when you look at that minor unpacking presentation, you can see that the recurring revenue growth has been consistent. And then you’ll start to see little more clearly, when you – at least for me, when I visually look at it, the impact of the non-recurring businesses on the quarterly cycle. So last quarter, we’ve got a lot of questions about holy smokes guys, the second half looks really good relative to the first half. Patrick and I pointed out we had a lot of deliveries from perpetual wins coming through in the second half. And I think like you saw that in Q3, when you unpack the guide for Q4, you’ll see that that again. And so, we would be – when you look at that historical trends, you would probably conclude that Q1 would be a potential down quarter. But we are really focused on the ARR growth subject to those concerns that Patrick laid out in terms of FX and minor de-emphasis, those things notwithstanding, we will be expecting a steady increase in our recurring revenue.
Koji Ikeda: Got it. Got it. And then just one follow-up for me. I think, you guys might be talking about this next month at your Investor Day, but just wanted to throw it out there today is, how does X matters playing to the growth algorithm for 2023? Thanks, guys.
David Wagner: Yeah, thanks for bringing that up. X matters is a really powerful capability for DevOps leaders to put and service managers to put no code integration and optimize their workflows. And so, one of the things we’re doing internally we talked about is optimizing the sub-brands. And so, we’re going to be digging in, we are digging in, I’ll be digging in even more, as we align a sales team for 2023 on focusing on those sub-brands and making sure that we’re optimizing things that go-to-market motions, not just for CEM. But for those kinds of sub-brands that have really powerful capabilities. To make sure, we’re doing all the things that we should be doing in terms of demand, and in terms of getting the right sales and pre-sales resources on each opportunity in the funnel and that plays a key role. The other area where X matters is playing a really key role, as I alluded to in a prior Q&A, when we talk to our customers, this idea of enterprise workflow and having one central way does one platform approach and extensible approach to managing risks across the enterprise that CIO and our CISO, along with the CSO controlled in most organizations 80% of the risk events, and bringing that together in a common look of dealing workflow is one of the really great strategic areas we’re going to be leaning into. And so that part of X matters playing into our long-term strategy is also something we’re excited to unpack and take advantage of as we execute on the overall platform approach in the coming years.
Koji Ikeda: Thanks so much for taking my questions. Really appreciate it. Thank you so much.
David Wagner: Yeah, thanks.
Operator: The next question comes from Terry Tillman with Truist Securities. Please go ahead.
Terry Tillman: Yeah. Hi, David and Patrick, thanks for taking my questions as well. Some of them have been answered, but I still have a few. One thing I’m curious about, David, in terms of just optimizing the sales capacity, that isn’t on a go-forward basis, and just optimizing go-to-market and then the pathway to platform opportunities. Do you see as we exit 2023, and I know it’s already a lot to give 2023 guidance, I’m not trying to tell you to give us 2024 guidance. But do you think actually growth and organic growth starts kind of picking up to some higher level into 2023? The second part of the first question for you David is just, there is kind of a tale of 2 cities and ARR growth is definitely stronger, anything you can share about like targeted ARR growth? And then, I had a follow-up for Patrick.
David Wagner: Okay. So that’s a very insightful question. We are as a team aligning on the key value driver of ARR growth, and how that growth converts into revenue growth over time that is the key focus area. But even inside that, we have lots of pieces that we’re unpacking and optimizing over. There will be a multi-year period, but particularly in 2023. So the way you should be reading what Patrick and I have said very specifically is – this baseline growth is building in a tempered growth on the non-recurring pieces, which by definition means that recurring pieces will be growing faster. And we’ll also be managing these optimizations over time. And that’s I wanted – one of the things I’m most optimistic about the thing – these thing I’m most optimistic about our enterprise customers taking advantage of CEM to keep the people safe in their organizations running those stories are powerful. We are in a leadership position by far in that category area. But second thing, I’m most excited about is the commitment of my colleagues here at Everbridge of leadership team, and every employee their commitment to executing on behalf of our customers and our purpose in the market. And so, we’re going to continue to take advantage of the best ideas of every seller, the best ideas of every developer, to optimize for our customers. And so, I cannot predict with 100% certainty what that will look like. I can tell you, I’m really optimistic about the power of this team has aligned on the core CEM opportunity to win manifests itself in ARR growth over time.
Terry Tillman: That’s great. Maybe just one more real quick one for Patrick. In terms of the invoicing, I think, you talked about a little bit of timing dynamics in the quarter. Anything more you can share about that. And just, in the tougher macro, there’s the way customers are demanding the invoicing or the payment terms could that change and just how to think about cash flow relationship to EBITDA going forward? Thank you.
Patrick Brickley: Yeah, thanks, Terry. Yeah, in Q3, the change in deferred had a little bit more to do with the mix of the bookings, than the timing of the invoicing, but timing of voicing always plays a role, and shows up in the calculated billings metric. And it’s part of why there’s so much noise in that. As we move through this sort of macro, we do receive requests to alter invoicing terms. We work through that with customers that that’s not our first option. But we are seeing an increase in those types of requests. Not to do with our services, or anything of that nature just more due with the macro. So, yeah, that’s part of what we have our eye on as we think about 2023.
Terry Tillman: Okay. See you in December. Thanks.
Patrick Brickley: Thanks.
Operator: The next question comes from Alex Sklar with Raymond James. Please go ahead.
Alex Sklar: Great, thanks. David, just one for me. But some of the further optimization that you’ve been talking about today, can you just elaborate on making any changes to the core CEM kind of go-to-market that you’ve been putting into place over the past year in terms of the persona based selling in the more simplified bundles? And how should we think about this round up? How should long we think about this brand of optimization taking? Thanks.
David Wagner: Thanks for the question. So in terms of optimization, that is the word I am using, and will continue to use, I hate that word with respect to what we felt, we had to do in terms of losing some colleagues that we really value here at Everbridge. And so I can fall into the trap, when I’m talking to investors of failing to recognize the importance of these individuals to what Everbridge has done today. And so, anyway, it’s with great empathy and care that we’re trying to manage these painful transitions of our human capital. Putting that aside and becoming more clinical for a moment, approximately half of the roughly 2,000 positions we’re planning to eliminate are here in North America. And those notifications have all…
Patrick Brickley: 200.
David Wagner: 200. I’m sorry. 100 is half of the 200 are here in North America, and those everyone has been affected in North America has been notified. We have a very large global footprint and operate in lots of geographies. And so our intention to eliminate potentially another 100 positions, so total over 200 as being executed in accordance with local laws in each geography where those employees are located. And that process varies from one week to several months. So as we stated in the script, we expect if the plans fully implement internationally or to have in North America, path 200 – over 200 employees, who were with us in the first November, you’re not meant to no longer be here on the January 1. So it’ll be feathered in and we have the expectation that that will be complete by the end of the year.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Wagner for any closing remarks.
David Wagner: Well, I thank you all for joining us today. Today is Election Day. And so we moved our call to the morning with the hope that that would enable people to participate. And so get out and vote. We have opened the registration page for our IR day in December and we look forward to seeing many of you there and unpacking our future plans in more detail at that time. Operator?
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.